Operator: Good morning, and welcome to UMH Properties First Quarter 2015 Earnings Conference Call. All participants will be in listen-only mode [Operator Instructions]. After today’s presentation, there will be an opportunity to ask questions [Operator Instructions]. Please note this event is being recorded. It is now my pleasure to introduce your host, Ms. Susan Jordan, Director of Investor Relations. Thank you. Ms. Jordan, you may begin.
Susan Jordan: Thank you very much, operator. In addition to the 10-Q that we filed with the SEC yesterday we have filed an unaudited quarterly supplemental information presentation. This supplemental information presentation along with the 10-Q are available on the Company’s Web site at umh.com. I would like to remind everyone that certain statements made during this conference call, which are not historical facts, may be deemed forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. The forward-looking statements that we make on this call are based on our current expectations and involve various risks and uncertainties. Although, the Company believes the expectations reflected in any forward-looking statements are based on reasonable assumptions, the Company can provide no assurance that its expectations will be achieved. The risks and uncertainties that could cause actual results to differ materially from expectations are detailed in the Company's First Quarter 2015 earnings release and filings with the Securities and Exchange Commission. The Company disclaims any obligation to update its forward-looking statements. Having said that, I'd like to introduce management with us today, Eugene Landy, Chairman; Samuel Landy, President and Chief Executive Officer; and Anna Chew, Chief Financial Officer. It is now my pleasure to turn the call over to UMH's President and Chief Executive Officer, Samuel Landy.
Samuel Landy: Thank you very much, Susan. Good morning, everyone, and thank you for joining us. We are pleased to report our results for the quarter ended March 31, 2015. UMH continued to execute its growth strategy of using debt, preferred stock and equity raise through our dividend reinvestment plan to purchase well-located communities in our target markets, including the energy-rich Marcellus and Utica shale regions. We have increased the number of our developed home sites by 5% over the prior year period. During the quarter, we acquired one manufactured home community containing 141 developed home sites in Erie, Pennsylvania for a purchase price of $3,800,000. Subsequent to quarter end, we acquired two additional communities containing a total of 324 developed home sites in Western Pennsylvania for an aggregate purchase price of $5,300,000. Over the past five years, we have more than doubled our portfolio by acquiring a total of 63 communities containing over 8,600 developed home sites. With the two communities acquired subsequent to quarter end, our portfolio is now comprised of 91 communities with 15,500 developed home sites located throughout seven states. We continue to seek acquisitions in our target markets and in addition to the acquisitions completed in 2015 thus far we have a definitive agreement to purchase one manufactured home community in Mountain Top, Pennsylvania containing 158 developed home sites for approximately $3.5 million. This acquisition is anticipated to close during the second quarter of 2015. We are currently in various stages of negotiations for additional community acquisitions. Our business model to purchase communities in strong geographic areas make appropriate capital improvement including rental homes, ad sales debt and marketing and thereby increased income and occupancy. We believe our business plan has substantially increased the value of these communities as demonstrated by our same-store results. Over the prior year period, same-store occupancy rose 1.3%, revenue increased 8.2% and expenses decreased 0.9% resulting in an increase in same-store community NOI of 19.2%. Our year-over-year same store NOI growth of nearly 20% represents solid evidence that our ongoing program of acquiring communities and upgrading them is working. We anticipate adding an additional $100 million in communities over the next few years. While community acquisitions often require additional investments in time and capital to bring these communities up to our high standards, we are confident that these transactions will have a continued impact in delivering long-term value to our shareholders. Community NOI increased 28% to $8.4 million for the first quarter of 2015 as compared to $6.6 million for the same period in 2014. Overall occupancy increased 150 basis points from 80.8% in the first quarter of 2014 to 82.3% currently. Same-store occupancy increased 130 basis points from 81.7% to 83% currently. Occupancy increases continued to be driven by home rentals. We are expanding our rental program and have added an additional 120 rental homes to our communities during the recent quarter bringing the total to approximately 2,700 rental homes. Over the past two years we have added approximately 1,600 rental homes to our community. Occupancy in rental homes continues to be strong and is currently 92%. Occupied rental homes now represent approximately 20.4% of total occupied home sites at quarter end. Our sales of manufactured homes remain at low level with $1.1 million in home sold this past quarter as compared to $1 million in 2014. Because of medium price for an existing single family home is over $200,000 compared to approximately $65,000 for our manufactured home coupled with the recent double-digital annual rental increases associated with the apartment sector we remain optimistic about improved sales for our property type given the basic need for quality affordable housing. The S&P Case-Shiller national index has seen 34 consecutive months of positive year-over-year gains. As prices of traditional site built homes continued to rise households need to look for more affordable solutions. Today’s manufactured homes can deliver outstanding quality and performance in the face of discontinued widening of the housing affordability gap. Our substantial expansion acreage provides us with the ability to increase our total sites as housing demand increases. Given UMH’s geographic concentration in some of the most energy rich areas in the world we anticipate that there will be strong long-term demand for our sites. And now Anna will provide you with greater detail on our results for the first quarter.
Anna Chew: Thank you, Sam. Core funds from operations or core FFO was $3.2 million or $0.13 per diluted share for the first quarter of 2015 compared to $2.4 million or $0.11 per diluted share for the prior year period. Normalized FFO was $3.2 million or $0.13 per diluted share for the first quarter of 2015 compared to $1.9 million or $0.09 per diluted share in the prior year period, representing an increase of 44% on a per share basis. Normalized FFO excludes securities gains and losses and $125,000 in 2015 for the one-time payment to our insurance company for our contribution towards the settlement of the Memphis Mobile City lawsuit. Rental and related income for the quarter increased by 16% from $14.8 million in 2014 to $17.2 million in 2015, this increase was primarily due to the acquisition of 15 communities in 2014 and 2015. The addition of rental units and the growth in occupancy, as Sam mentioned same-store community NOI increased 19.2% over the prior year period driven by increases in rental revenue, reduced expenses and occupancy gains. Total community operating expenses for the quarter were 51.2% of rental and related income representing a 460 basis point improvement over the prior year period. As we noted in past our expense ratio will continue to improve as we upgrade and integrate our acquisitions. Our loss from the sales operation, including interest expense, remained stable at approximately $600,000. This loss includes cost associated with our sale centers. We believe that over the long-term, these sales centers will have the potential to generate meaningful positive results. We have continued to strengthening our balance sheet. As of the end of the quarter our capital structure consisted of approximately $270,000 in debt of which $222 million was community level mortgage debt and $48 million were loans payable. 83.7% of our total debt is fixed rate. The weighted average interest rate on our total debt is 4.5%. We also had a total of $92 million in perpetual preferred equity at quarter end. Our preferred stocks combined with an equity market capitalization of $254 million and our $270 million is debt results in a total market capitalization of approximately $616 million at quarter end. From a credit standpoint; our net debt to total market capitalization was 42%; our net debt -- securities to total market capitalization was 30.9%; our fixed charge coverage was 1.7 times; our net debt to EBITDA was 8.1 times; and our net debt plus securities to EBITDA was 6 times. From liquidity standpoint, we ended the quarter with $11.1 million in cash and cash equivalents and $5 million available on our credit facility with an additional $15 million potentially available for soon to an accordion feature. We also had $16.9 million available on our revolving lines of credit for the financing of home sales and the purchase of inventory. In addition, we held $67.9 million in marketable REIT securities encumbered by $1.4 million in margin loans and 2% interest. Generally, 50% of the market value of our REIT securities may be borrowed on margin. We intend to limit the securities portfolio to be no more than approximately 15% of our un-depreciated assets. At the end of the quarter, we had $5.5 million in net unrealized gains on our securities investments. To further enhance our liquidity, UMH has successfully completed our previously announced financings. We are paying 10 Freddie Mac mortgage loans for total proceeds of approximately $57.7 million including one loan which closed on April 1, 2015. These loans have 10 year maturities and principal repayments based on 30 year amortization schedules, interests on these mortgages are at a weighted average fixed rate of 3.87%. The entrance of Freddie Mac into our sector has greatly increased the availability of debt capital. Their favorable financing terms will allow us to continue to refinance our communities and execute our growth strategy for the long-term benefit of our shareholders. And now let me turn it over to Gene before we open it up for questions.
Eugene Landy: Thank you, Anna. As Founder and Chairman of the Board of Directors, I am proud of the substantial progress UMH has made in its operational business plan. Our communities are strategically very well located. We are taking advantage of the economic and population growth that is resulted from the oil and gas deposits in Pennsylvania and Ohio. We are taking advantage of the strong need for quality affordable housing through our rental housing program. We are taking advantage of the availability of debt capital and favorable financing terms which allow us to realize property values. Our management team has demonstrated the capabilities necessary to integrate and maximize the performance of our communities. UMH believes in the manufactured housing sector. My letter to shareholders which I urge you to read discusses the strength and future of our industry. With the anticipated growth of our per share earnings and the favorable developments previously discussed, management will recommend to the Board of Director the continuation of our current AT intensive quarter with $0.72 annual per share cash distribution. We will now be happy to take questions.
Operator: We will now begin the question-and-answer session [Operator Instructions]. And our first question will come from Brian Hollenden of Sidoti.
Brian Hollenden: Can you talk about rent increases, what was the weighted average home site rent and how does that compare to last year, and more importantly what are you expecting for the year at?
Anna Chew: If you look at our same-store figures the weighted average monthly rent as of the end of 2014 was about $398 and at the end of the quarter 2015 was $413 which is about like 3%, 4% increase. And we expect that we will be increasing rents throughout the whole portfolio around 3% to 4% for the coming year.
Samuel Landy: If I can answer that, our policy for 2015 was to increase rents on the sites alone at 4%. And our other policy was to put rental units with a budget of 500 rental units to add to the portfolio. So that the top line for UMH is 72 million rental revenue as compared to 64 million in 2014 that is we’re anticipating an 8 million gain this year and we already know the numbers up to the May charges, so we are right on the schedule to increase our rental revenues to 72 million for 2015. That does not include any acquisitions that make them down the road.
Brian Hollenden: Can you talk a little bit demand I guess specifically the drop in oil, any negative impact on demand and what can you point to show that the oil price drop has not been negatively affecting demand.
Samuel Landy: Yes, throughout the Pennsylvania and Ohio region the projects that are going on are the installation of the pipeline and the pipelines are going to create additional uses for the natural gas which will again result in traditional drilling. But even though they have cut back on drilling there is no cut back in the pipeline projects and I think I pointed out on the last call that rent is higher in Pennsylvania you see pipeline piled up like storage containers near the New Jersey ports. So the pipeline projects are going forward. Those people need housing. They are moving -- they get the workers from Texas, from Louisiana and our rental demand is extraordinary. We actually added 808 rental units in 2014 and so far in 2015 we’ve ordered 295 new units. Demand is extraordinary and I just talked about Pennsylvania and Ohio but manufacturing coming back in Indiana and then Nashville has been a great market for us and New Jersey is very strong too. So demand is exceptionally strong on the rental units.
Brian Hollenden: And if I can just ask a follow-up to that, same-store occupancy was up about a 130 basis points to 83%, is that all driven by the rental units and filling those up and you expect that similar 130 basis points or so pace for the next 12 months.
Samuel Landy: Yes. So I’d say that, the long time ago my father took me to the world’s fair looking for a better product and the better business is all the way back in 1967. We found the better business and better product it is manufactured homes as rental units. No apartment builder can compete with us they're costs are $150,000 at least for 1,000 square foot unit; our cost is $40,000 per 1,000 square per unit. We can monitor demand every month. We put in five rental units if they fill up we add another five. We don’t have to wait for new approvals you just apply for the building permit which you’re legally entitled to get the permit for the pad, order the house. Six to eight weeks we have the 1,000 square feet ready to rent. We have just really something, our top five revenue percentage increases during the year 2014. Country Side Village in Tennessee went up 42% which is $429,000 per year. City view at Pennsylvania community went up 39%, 71,000, Colonial Heights 32% a 144,000, Holiday Inn Manor in Nashville 29%, 338,000 another country side state pace 27%, $97,200. We had 25 communities increased revenue by 10% or more year-over-year.
Brian Hollenden: And if I can just ask one last question, then I’ll jump back into the queue. On the acquisition front can you just talk a little bit about I know you don’t talk directly about cap rates but what you’re seeing I guess compared to last year in terms of rates, then who you are running into in terms of competitors when you’re looking at that some of these deals.
Samuel Landy: That’s the most difficult question to answer because we're in the middle of negations now and we’re very optimistic that we can do 50 million, 60 million and our goal is 100 million in acquisitions. There were two types of acquisitions we do what we call one-off acquisitions. We’re dealing with an individual owner. There are most difficult negations but we are willing to go out and do the work to buy single 150, 200 space park for one owner even though it takes much more work than buying a portfolio. But we’re also very bullish on the overall industry as Sam just pointed out. We think that the rental homes, three bedrooms, two baths of 1,000 square feet renting for $800 a month is very competitive and that we’re able to improve these parts by putting the rental units in. So we are negotiating to buy larger packages of products and to install rental units in there. But I really don’t want to get into what we call the shadow pipeline because until we have a signed contract we really can’t comment on the negotiations.
Operator: And our next question will come from Craig Kucera of Wunderlich.
Craig Kucera: Lot of my questions were covered but I think you answered my question which was really kind of your -- what’s your base line expectation for acquisitions this year, is it probably 50 million, 60 million on the community side?
Samuel Landy: We don’t have the signed contract, we’re optimistic though based on a number of deals we’re looking at, the people we’re dealing with but we just have to wait until we have signed contracts and then we’ll announce what we’re doing. But we are optimistic that we can run the company from 800,000 sites to 15,500 and we’re convinced we can take it to 18,500 and then to 20,000 sites.
Craig Kucera: And on the rental side is the expectation now you guys -- looks like you spend about almost 7 million in the first quarter. Are you still expecting to spend about that much a quarter, call it 5 million to 7 million?
Samuel Landy: Yes, I am just thinking about your numbers, 500 times 40,000 is 20 million and both when we do 700 and maybe the demand that strong at 40,000 a site. I just want to mention something on the acquisition, we’ve an incredible competitive advantage because of the great mortgages we’ve received through Freddie Mac and they told us the story how they had six applications that they were ready to approve on the numbers, from six different community owners. But when they inspected the communities, we were the only one they gave the mortgage to because they were still impressed with the condition and the quality of the community. And so what we’re doing is we’re acquiring these communities and upgrading them so we can get to lower price mortgage which we’ll be able to do after we install the rental units. Freddie Mac changed the rental unit criteria used to be limited to 5%, now it’s 25% and you can get waivers, so we’re in very good shape having that advantage and it’s going to help with our acquisitions.
Craig Kucera: And when you think about the demand the traffic coming through the door that you’re able to put into rentals, is there any advantage to doing a little more call it stack rental units or are you just really find the match sort of on a real time basis kind of traffic and potential rentals versus what you are spending?
Samuel Landy: There are our locations where we do make the decision to put in 10 rentals at a time because the demand is so strong but that’s the exception just because we checked the occupancy every month and we don’t like to see vacant rental units and so if I put in tenant we only feel five it distorts the number. So I have to try to match it as best we can. The other thing you should be aware of with rental units that we were concerned about what would it do to receivables, but I checked the receivables every month too and our rent collection is just as good as ever and the rental units are not closing any receivable problem.
Anna Chew: And also if I may add, in order to get a rental unit in, it doesn’t take like years to do it only takes a few months from the time of ordering to the time of having a set up and ready for occupancy. So there is no time lag in that so it’s not too much of an advantage to order more than we need.
Craig Kucera: And is there any seasonality that you find -- I mean is it like in the regular profit business where you do see a lift in sort of traffic count and just people that have an interest in renting a different points in the year?
Samuel Landy: Families with children want to be relocated before the school year begins and so they’ll slow down after the school year starts, less people move during the winter because it’s more difficult. But even through those periods we’ve had very strong move-ins and very strong occupancy.
Operator: And our next question comes from Paula Poskon of D.A. Davidson.
Paula Poskon: Just a question for Sam correct me if I am wrong I think I draw this down from your prepared remarks Sam that the rental business now represents a little over 24% of your portfolio, is that correct?
Anna Chew: 20.4.
Paula Poskon: 20.4. And if you believe that as I do that that I'm bullish on the rental sector, at what ratio are you comfortable capping that, or would you be comfortable with an entire rental portfolio where does sort of the optimal point there?
Samuel Landy: The way I look at that is more community by communities and particularly as a portfolio because there are communities and expansions that were really built strictly from multisession home sitter for sale if the community has a club house swimming pool it’s more like that it’s multi section sales occupancy and not that your rental community. And so in those communities you might be putting in 10% rental unit. And based on current occupancy that could be all there is room for us 10% rental occupancy. But thing you have other communities that were built single section work force housing where rentals are the solution and the answer. And I wouldn’t care if there were 100% rental occupancy that’s what the people want, that’s what they take and there is nothing wrong with rental occupancy there. So we go community by community and I am aware of the mortgage constraints on rental units but my personal feeling and this goes back to before Freddie Mac was allowing the rental units, I always felt that if we show that rental units will last for 40 plus years and then on the $40,000 investment we’re going to collect $48,000 in times 40 years and then homes going to left long and everything is going to work, then eventually the lenders would recognize that and they lend towards it which is exactly what’s occurring. So I think at some point my father talks about someday we’re going to build a 100% rental manufactured home community because is that good.
Operator: The next question is from Joe Valdrini of Merrill Lynch.
Joe Valdrini: I just had a quick question, could you speak to the share dilution recently and how the pace of that you see going forward?
Samuel Landy: That’s a difficult question. My personal view is that we want to switch from issuing any equity and issue solely preferred stock and use the availability of first mortgage debt to Freddie Mac. We do in order to issue a preferred issue we need to get our earnings up and the other thing we need to do is we very much want to get on the MSCI index, the smallest company on the MSI index is 325 million. So UMH is getting closer that point and so the strong reasons for continuing issue some equity until we can get 325 million, 350 million market cap but we don’t want to continue to issue common shares other than for the reasons I have stated. The other issue is that we may find an opportunity to make a major acquisition and if you’re going to make a major acquisition of 50 million or 100 million we might have to raise a small amount of equity but again we have -- you are talking a 5%, 10% of the outstanding, I'm talking about selling 20% of the company. We think the company is more valuable the shares are undervalued and the selling stock at the present price has a major disadvantage because of the selling stock we think the value of it is. But again there is some offsetting considerations and in small amount we might continue to sell a little equity. But eventually I would like the company as a policy to use first mortgage debt to Freddie Mac and to become one of the major issues of preferred shares.
Operator: [Operator Instructions]. We do have a question from Michael Boulegeris of Boulegeris Investments.
Michael Boulegeris: Sam, it seems like sequentially total income just fell little and then the overall occupancy was flat, is that just turbulence or inter-quarter turbulence or is there something more there?
Anna Chew: Well, sequentially -- it’s Anna. On the earning site don’t forget that quarter one is always the quarter where you have some expenses relating to slow removal and to various other things and in this quarter especially we also had the Memphis Mobile City litigation settlement which was a $125,000. We didn’t have that in Q4.
Michael Boulegeris : And to Eugene or Sam, do you -- in terms of the REIT portfolio is looks like it doing very well. Is that perhaps something you might consider drawing down incrementally? I mean you’ve always indicated that it does provide some liquidity during market the rest, but have your thoughts changed about that at all, given the share dilution?
Samuel Landy: Well, you talk about ideas change, the REIT portfolio was there, the liquidity and liquidity. It also provides us with an extra source of income. We’re very pleased with the portfolio we have based on the reporting companies who are reporting excellent earnings. But our plan is to reduce the securities portfolio if we get the opportunity to buy a large portfolio of community. So we might take the preferred stock for example down to zero and raise $18 million by selling the preferred stock. But if we’re going to do 50 million or 100 million in acquisitions we will use every source of capital we have, because we won’t do the acquisitions unless we have three different ways of financing it. We’re very conservative.
Michael Boulegeris: And from a strategic standpoint in terms of future growth, any thought at all about selling some your community that may not appear to be strategic, I see you have one out of Michigan but, have your thoughts changed at all in that regard?
Samuel Landy: No, not at all. We're not sellers of parks and I don’t know how the other REITs get so many non-core properties every property we have that we bought some do better than others but we’re bullish about the long-term prospects for all the communities and in the 40 some year history I sold one park in Lancaster because the Pennsylvania that you live next door insisted on buying it otherwise I’ve never been a seller.
Operator: And this concludes our question-and-answer session. I would like to turn the call back over to Samuel Landy for any closing remarks.
Samuel Landy: Thank you, operator. I would like to thank the participants on this call for their continued support and interest in our company. As always, Gene, Anna and I are available for any follow up question. We hope to see you at NAREIT REITWeek event in June and we look forward to reporting back to you after our second quarter. Thank you.
Operator: The conference is not concluded. Thank you for attending today’s presentation. The teleconference replay will be available in approximately one hour. To access this replay please dial U.S. toll free 1877-344-7529 or international 1412-317-0088, the conference ID number is 10061574. Thank you and you may disconnect your lines at this time.